Operator: Good afternoon, and welcome to Red Rock Resorts Fourth Quarter and Year-end 2017 Conference Call. [Operator Instructions]. Please note, this conference is being recorded. I would now like to turn the conference over to Daniel Foley, Vice President of Finance and Investor Relations. Please go ahead.
Daniel Foley: Thank you, Bruce. Good afternoon, and welcome to Red Rock Resorts' Fourth Quarter and Year-end 2017 Earnings Conference Call. Joining me on the call today from Red Rock Resorts are Frank Fertitta, Chairman and Chief Executive Officer; Rich Haskins, President; Stephen Cootey, Executive Vice President, Chief Financial Officer and Treasurer; and Joe Hasson, Executive Vice President and Chief Operating Officer. Our call today will include forward-looking statements under the safe harbor provisions of the United States federal securities laws. Developments and results may differ from those projected. The risks and uncertainties related to these statements are detailed in our filings with the SEC. During this call, we will also discuss non-GAAP financial measures. For definitions and a complete reconciliation of these figures to GAAP, please refer to the financial tables in our earnings press release and Form 8-K, which were filed this afternoon prior to the call. Also, please note that this call is being recorded. I would now like to turn the call over to Steve Cootey.
Stephen Cootey: Thank you, Dan, and good afternoon, everyone. Turning first to fourth quarter results. For the quarter, consolidated net revenues decreased 0.1% to $394 million and adjusted EBITDA decreased 1.7% to $122.6 million. Margins for the quarter were 31.1% on a consolidated basis and 29% for Las Vegas operations. In Las Vegas, net revenues for the quarter increased 0.3% to $364.7 million, and adjusted EBITDA was flat year-over-year at $105.7 million. Notably, and as discussed in our recent calls about Palace Station Palms continue to experience substantial construction disruption during the quarter. However, when viewing our Las Vegas performance, excluding those 2 disruptive properties, the results are much more telling and demonstrate the underlying strength of our core business. Measured on that basis, net revenues increased nearly 5%; adjusted EBITDA increased approximately 8%; margins were up nearly 100 basis points; and flow-through was back within our historical range of 50% to 70%. These results were driven by strong volumes across every major gaming category. Turning next to our full year performance. For 2017, net revenues were $1.62 billion, an increase of 11.2% from $1.45 billion in 2016. The increase in net revenues is primarily due to the acquisition of the Palms, the $41.8 million increase in same-store Las Vegas operations, and the $7 million increase in Native American operations. For the full year, adjusted EBITDA was $496.4 million, an increase of 2.5% from $484.4 million in 2016, primarily due to the acquisition of the Palms and $8.6 million increase in Native American operations, which is partially offset by a $5.8 million increase in corporate and other. As noted above, these full year financial results were negatively impacted by substantial construction disruption at Palace Station and the Palms throughout the year. As a reminder, Palace Station is expected to continue to experience construction disruption at the high end of our previously estimated $10 million to $15 million annual range through the completion of the project at the end of 2018. With respect to the Palms, the construction disruption also continues to be expensive as expected to remain so through the completion of Phase II of the planned redevelopment of the property. As we begin 2018, the outlook for Las Vegas continues to be extremely bright, with key economic indicators pointing toward continued growth. Population is at an all-time high and climbing, with Nevada reporting in as the second fastest-growing state in the nation in 2017. With respect to employment and number of jobs is also at the highest level in history with nearly 30,000 new jobs being created in 2017 and unemployment at its lowest level in over a decade. Moreover, the job group is broad-based and diverse with construction jobs posting the largest year-over-year increase at 18.3%. Wage growth was also strong, with an average weekly earnings -- with average weekly earnings up 3.4% in 2017 compared to the prior year. These positive economic trends led to more discretionary spending as taxable sales were up 3.8% for the year. The statistics were also very solid on the housing side. Compared to the prior year, new home sales were up 16.2% in December with sales reaching their highest level since 2008, and existing home sales were up 17% in December with sales at their highest level since 2006. This resulted in the largest percentage improvement and negative home equity in any Metropolitan area in United States for the year with that number declining by 470 basis points to 10.3% down from a peak of 72.5% in 2009. In addition, since that time, more than $72 billion of home equity has been created in the market. Looking forward, there are over $14 billion of development projects planned or currently underway in Las Vegas led by the new Raider Stadium, the convention center expansion and multiple strip developments. Moreover, Las Vegas is projected as the third fastest-growing job market in United States through 2019. Lastly, multiple experts believe that the recent tax reform may further incentivize movement of both new residents and businesses alike to zero tax states such as Nevada. The strong economic fundamentals bode well for our best-in-class assets and market-leading distribution and scale, favorable supply-demand dynamics and a deep development pipeline as such we remain uniquely positioned to take advantage of this ongoing growth, and what we believe is most attractive gain in market in United States. Turning now to some of our strategic key -- key strategic initiatives. On the innovation and technology front, we're beginning to see tangible results from our new IGT slot system upgrade. Since initiating phase tests and rollout in the third quarter of 2017, we have seen substantial increase in our guest loyalty metrics. Affirming our belief, they were providing a more rewarding and engaging customer experience. And as we continue to evolve in our fine system techniques, including personalized, on-device bonus and capabilities and other reward features, we would expect that our relationship with our guests will continue to strengthen over time, ultimate resulting in greater visitation, time on device and spend. Now let's talk about our Palace Station and Palms redevelopment projects. We remain extremely bullish on both these opportunities and believe that our significant investments in these hybrid properties, which appeal to both local guests and tourists alike, will generate very solid returns upon their completion. At Palace Station, the project remains on time and on budget. The low-rise exterior facade, porte-cochère, casino valet area, and state-of-the-art bingo rooms are now all complete along with 50% of the renovating casino floor. We've spent approximately $80 million of the budget of $191 million at Palace Station through year-end and expected to complete the entire project by the end of 2018. Turning now to Palms, we are excited to announce today that we're accelerating the third phase. We're planning to redevelop and reposition the property. Highlights of Phase III will include a casino floor expansion and featuring 3,300 new slot machines from 16 table games; an authentic Hong Kong-style Dim Sum restaurant; a casino connector seamlessly integrating the adjacent 599-room Palms Place tower directly into the properties of newly expanded casino floor; an indoor connected to the preexisting self-park garage with interest directly into the newly expanded casino floor; collaborations with world-class contemporary artists throughout the property; and state-of-the-art digital signage on the hotel tower exterior. We're also pleased to note the following components of Phase I of our plan are now complete and open to the public. Lucky Penny, our new 24-hour café, AYCE, our innovation -- innovative take on Vegas buffet experience; a fully renovated 14-screen luxury cinema, which includes recliner seating and cocktail service; an 18,000 net-square feet of completely renovated meeting and convention space. The total budget for Palms development, including Phase III, is now expected to be $620 million. That number includes construction costs, capitalized interest and preopening expense. We continue to expect that the total project will generate a midteens EBITDA return on our overall investment to property after an appropriate ramping period. We expect approximately $77 million at the Palms through year-end. From a timing standpoint, we continue to expect to open Phase I of the planned redevelopment in the second quarter of 2018, with components of the second phase to open throughout the first and second quarters of 2019 and Phase III to open in the fourth quarter of 2019. In our Native American segment, we reported management fees for the quarter of $24.5 million, down 2.2% from the prior year, primarily driven by one-time development fee, $800,000 we received last year, and by the negative impact of the October northern California wildfires near the great resort and casino. Also, as a reminder, our management agreement with Gun Lake Tribe expired earlier this month. At the same time, we'd like to remind you that our management fee under the great management agreement increased from 24% to 27% in November 2017. Lastly, regarding the North Fork project, we continue to work through the various pieces of litigation that remain regarding the project. As previously noted, the California Supreme Court has agreed to the Tribe's expedition for review with respect to the key lower court decision revolving the project, but it has deferred taking any further action in that matter and so it has ruled on a very similar case before involving the enterprise tribe, which we see this favorable ruling at the appellate court level. That case is fully breed, and we continue to be hopeful that the court will schedule a hearing on the enterprise case in the near future. I will now cover a few balance sheet and capital items. The company's cash and cash equivalents at year-end were $231.5 million and total principal amount of debt outstanding at the end of fourth quarter was $2.68 billion. At year-end, debt to EBITDA and interest coverage ratios were 5x and 4.5x, respectively. During the fourth quarter of 2017, the U.S. Tax Cuts and Job Act was enacted. As a result, our fourth quarter result flat a nonrecurring cash increase to net income of $2 million as a result of revaluing the company's deferred tax asset and liabilities as well as its tax receivable agreement liability. This estimated net benefit is based on the company's initial analysis as such tax reform and maybe adjusted in future periods if the company collects additional information and evaluates any regulatory guidance. While we are still evaluating the projected impact of the entire cash reform package, we believe the accelerating expensing of qualified improvements and reduction of the corporate tax rate from 35% to 21% should benefit the company in 2018 and beyond. Based on our initial analysis, we currently anticipate that we will not be a cash taxpayer in 2018. We would also expect that any reductions in personal income taxes levied upon wagers and individual taxpayers as a result of such federal tax reform will ultimately be beneficial to our business. Capital spend in the fourth quarter was $80 million, which includes both Palace Station and Palms redevelopment. In 2018, we anticipate capital expenditures to be between $650 million and $700 million inclusive of the Palace Station and Palms projects. The increase in last quarter's estimate includes Palms' Phase III CapEx and also reflects an acceleration of certain capital projects, including a normal cycle room-refreshers at both Red Rock and Palace station. That acceleration is in part directly attributable to the benefits that we'll derive from the recent U.S. tax reform. In addition, on February 23, the company announced that its Board of Directors declared a cash dividend of $0.10 per Class A common share for the fourth quarter to be payable on March 30 to shareholders of record as of March 15. Finally, just wanted to make you aware of the following. At the time of our initial public offering, we were not eligible to file a shelf-registration statement with the SEC. However, sufficient time has passed just that, that we are now eligible to do so, and we anticipate that we will be filing a shelf-registration statement with the SEC along with our 10-K filing. The company has no immediate plans to utilize this shelf, but this will give us additional flexibility in managing our capital structure as needed in the future. In sum, as we started off 2018, we remained very encouraged by the continued growth of our core business, the ongoing strength in the Las Vegas economy, the potential upside of our strategic investments and initiatives, and our nonstop focus on driving operational efficiencies across the enterprise. Operator, this concludes our prepared remarks for today, and we are now ready to take questions from participants on the call.
Operator: [Operator Instructions]. And our first question comes from the line of Joe Greff from JP Morgan.
Joseph Greff: With respect to the incremental investment Phase III at the Palm, does this displace more EBITDA than originally contemplated? Or can you do Phase III? Would that really impact in incremental EBITDA disruption?
Stephen Cootey: What we're going to try to do, we think this way we're going to try to minimize any disruption to EBITDA, the steel. And the steel should be up with the restaurant. And we're creating connector to minimize disruption during Phase III.
Joseph Greff: Okay, great. In your prepared comments, I think it was -- some of the others things you have already talked about, but one thing, and this is, really for Frank, and I can understand its sensitivity here not to be chewing in your face about it, but obviously, recent news reports that may be personal potential investments outside of the company has impacted stock in a pretty volatile way. So I'm asking in that context, Frank, do you have any comment with respect to your holdings in Red Rock? And any comments on that, that would be helpful. Appreciate it.
Frank Fertitta: Look, our 100% focus every single day on how to create shareholder value here at Red Rock. And in terms of speculation, the company has a policy where we don't comment on questions or speculations. But I can rest assure that everyday that I come into work, it's a 100% focus on Red Rock Resorts.
Operator: And our next question comes from the line of Carlo Santarelli from Deutsche Bank.
Carlo Santarelli: Just a point of clarity, Steve. In the release, you guys mentioned that the year-over-year increase in the same-store Las Vegas operations was $41.8 million. I just wanted to make sure that, that did not or did that included, I should say, just as the core set and Palms was excluded even in the fourth quarter despite the fact that you drawn it in the prior fourth quarter.
Stephen Cootey: The $41.1 million excluded the Palms.
Carlo Santarelli: For the entire deal of the year, correct?
Stephen Cootey: Yes, correct.
Carlo Santarelli: Okay. And we've, obviously, over the last few calls spent a lot of time discussing Palace Station as well as Palms' CapEx plans. Two-part question. The first part is you mentioned in your remarks earlier that you continue to expect the Palace Station disruption to be towards the high end, I think, that was $10 million to $15 million for 2017. Were you insinuating that you expect another $10 million to $15 million EBITDA ahead as we move forward into 2018?
Stephen Cootey: No, no, no. This is $10 million, $15 million annually, and so as I kind of mentioned to you previously, Q4, Q1 will be the highest level, be at the higher end of that. And as we start rolling through Q3 and Q4, that should be -- that just start diminishing.
Carlo Santarelli: Okay, got it. And then lastly, as we've thought about Palms and Palace Station, when you think about the broader portfolio, specially some of the bigger properties, I know you mentioned here doing regular remodels at Red Rock. But when you think about the balance of the assets, as we kind of get beyond the CapEx here and the next year or two, is there anything that's kind of significant on the horizon in 2019 and beyond with their picking a side kind of the regular maintenance CapEx spend?
Stephen Cootey: No. That does not.
Operator: And our next question comes from the line of Shaun Kelley from Bank of America.
Shaun Kelley: Steve, you mentioned the -- stick with Carlo's question on some of the incremental life-cycle renovations take advantage of kind of that capital expensing guidelines. Should we be thinking about or concerned with any incremental disruption as it relate to some of those? Are those things used to be able to manage in normal course and not have too much of an impact? Or should we be factoring something into our models in '18? And if so, when do you think those renos will be the most disruptive?
Stephen Cootey: Well, for the palms, I think, we answered the Palms' questions for Joe.
Shaun Kelley: Yes. More, Frank, the life-cycle stuff?
Stephen Cootey: Yes, very diminished. Diminished to no disruption at all.
Shaun Kelley: Okay, great. And then, maybe, one other question just given the scope and scale of what you guys are really contemplating doing at the Palms. But could you just tell us, I mean, strategically, there's now a whole host of initiatives you have here. You brought in some huge nightlife partners, there's a lot being done. When you look out in the marketplace, could you help us think a little bit at a high level of like how, either from a rate perspective or from a food and beverage mix perspective, are there comps out there in the market that you're looking at, saying, look, here's the type of run rate or productivity. We think we can get this property, too, upon stabilization, just so that we can start to underwrite or think about the property in a similar way to the way we imagine you guys are?
Stephen Cootey: Yes, sure. Shaun, I mean, obviously, we're excited about the location, we're excited about the growth in Las Vegas and Cannes, which we do view as the best gaining market in the world. The property is very uniquely positioned. It's a true hybrid property, right? It's attracting locals and tourists alike, so there's really no other comp like it, to be honest. We have experienced writing these similar assets, including the Palms itself. And I look no further than what the Palms has done in its past. If I look back, it's what George did and his team did, they hit a number that allowed us that we see out of a much lower asset base and a much less quality asset base. They hit an EBITDA that would help us generate a low- to mid-single-digit EBITDA return to double-digit return on both Phase 1 and Phase 2. And you saw that we've added Phase III, which is about $135 million, and you can do the math on 300 slot machines, 16 table games and adding a new restaurant, I mean, that's clearly...
Frank Fertitta: That specifically targets the ancient demographics, which surrounds the property.
Stephen Cootey: Correct.
Frank Fertitta: As well as a fact that right now, the conversion from the Palms' place is very difficult. Those 600 rooms over there. And what we're going to do with this casinos expansion, it's going to much, much, much improve the ability to gaining revenues out of those 600 hotel rooms, will be nearly a football field closer to those rooms than they currently are right now. And so we feel really good about giving conversion out of that. And I got to tell you guys, anybody who hasn't been through the Palms, I encourage you to go walk through. The property speaks for itself. When people see what this renovated property looks like, what it's going to offer in terms of restaurants, world-renowned chefs, art, must-see attractions, it's gonna be one of the nicest properties in the entire city of Las Vegas by far.
Operator: And our next question comes from the line of Stephen Grambling from Goldman Sachs.
Stephen Grambling: Couple of quick follow-ups. I guess, first, how did the new tax reform rules change your consideration for capital allocation, specifically as the balance shifted away from developing groundup on land you own towards the investing that everyone's kind of asking about the existing properties into our preference for acquisition and renovations?
Stephen Cootey: Well, generally, under the current rules, right, the room renovations qualifies -- is the qualified improvement, which we can expense immediately.
Stephen Grambling: And then can you remind me would you have been a cash taxpayer prior to corporate tax reform, I guess, given bonus appreciation rules?
Stephen Cootey: There's a potential that we would have been a cash taxpayer in 2018.
Stephen Grambling: Great. And then on the spend on the Palms and the incremental spend on the 2 properties, the hybrid property, I guess. Do you anticipate the equivalent of preopening and/or marketing expenses that we should be thinking about as we get into kind of 2019 time frame?
Stephen Cootey: Well, those were embedded in the $620 million.
Stephen Grambling: Okay. And one last one, if I may. So this is a follow-up to Shaun, which is just -- with the spend kind of rivaling on the Palms specifically other strip assets, I just want to make sure I understand this correctly, are you more shifting your view to making this a definitely more like a strip-focused property versus the traditional kind of hybrid?
Frank Fertitta: No, I think it's in the same place as what you've seen us do with Red Rock and Green Valley. It's definitely in a much more centrally located area of Las Vegas, which I think will allow us to get more thrust business in there than the other properties, which are further out in the suburbs. And it definitely will have more of a nightlife, day life entertainment component to it than the other properties, but it's still going to be a hybrid property. The locals are very important part with what we're going to do at the Palms. But it definitely is going to have a lot must-see attractions for the 130,000 plus hotel rooms that surround the property.
Stephen Grambling: Look forward to seeing some of those changes. Is there a high-end room planned?
Frank Fertitta: Yes, just Steve, I wanted to come back to the -- I mean, when you compared to one of the strip asset -- I mean, I have been on the strip property for almost 8 years prior to this experience and the $620 million is not -- you can't compare that to a strip property in terms of capital investment, just -- and your second question was [indiscernible]? We don't have a specific walk-or-out room, we have a higher-limit room. And that's one of the reasons we're adding in some Chinese restaurant to attract that key demographic to drive walk-or-out play.
Operator: And our next question comes from the line of Chad Beynon from Macquarie.
Chad Beynon: I wanted to go back to your comment on the same-store business margins, and I guess, more importantly the flow-through, which was quite strong in the year. Could you help us think about 2018, if there's any union negotiations, and inflationary pieces of the model? And kind of how we should think about same-store flow-through, obviously, excluding Palms and Palace Station?
Stephen Cootey: Sure. On the Union front, that's going to be ongoing, and I don't anticipate that affecting operations. On the wage increases, I think you're seeing with the market, 2% to 3% inflation on wage growth. We expect our flow-through for our non-disruptive properties to continue to be in the 50% to 70% range.
Chad Beynon: Great. And then, you answered -- Oh God, I'm sorry.
Frank Fertitta: Well, I'm just going to say when you take out the noise around Palace Station and the Palms, I got to tell you what it is. It's a great story for the balance of the portfolio. With what's going on in Las Vegas population increase, job creation, lots of investment here, and you look at the rest of the portfolio, 5% in revenues and 8% in cash flow, we think that's a great story.
Chad Beynon: And then my follow-up back on the CapEx topic. You said that you're qualified on the current room renovations, but how should we think about the excess land that you have in Las Vegas? And also in Reno, have maximized the most value for your shareholders given the changes in CapEx, if you view those ramp parcels differently post-tax reform?
Stephen Cootey: Sure. I mean, the ramp parcels are extremely important, it's great to own our development pipeline. First and foremost, we're focused on bringing the Palms, Palace online, but as you know, we have key assets and Wild, Wild West, Durango and Reno as well that are definitely on the forefront of our development pipeline. In terms of tax reform, those are new developments but it wouldn't qualify under the acceleration, the way a renovation such as the Palms and Palace call for us.
Chad Beynon: Okay, great. And then the last one from me, anything that we should be thinking about from a seasonality standpoint for 2018, given 1Q had ConAg and there may have been a slight benefit kind of right off the strip, anything differently in 2018?
Joseph Hasson: This is Joe Hasson. From a seasonality point of view, remember that we operate primarily locals focused businesses and with the population growing in Las Vegas, with wage growth in Las Vegas, that's really the foremost driver of our business. Of course, we're also in the hybrid business, and we attract destination travelers, so any lift in the overall economics of the broader market is advantageous to us as well.
Operator: [Operator Instructions]. And at this time, I'm showing no further questions. I'd like to turn the call back over to Mr. Steve Cootey for any closing remarks.
Stephen Cootey: Well, thank you for just being on the call today. We'll look forward to hearing from you in about 90 days.